Operator: Good day, and welcome to the Plymouth Industrial REIT Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Ethan Farris, Investor Relations. Please go ahead.
Ethan Farris: Thank you. Good morning. Welcome to the Plymouth Industrial REIT conference call to review the company's results for the second quarter of 2025. Yesterday afternoon, we issued our earnings release and posted a copy of our prepared commentary and a supplemental deck on the Quarterly Results section of our Investor Relations page. In addition to these earnings documents, a copy of our 10-Q can be found on the SEC filings page of the IR site. Our supplemental deck includes our full year 2025 guidance assumptions, detailed information on our operations, portfolio and balance sheet, and definitions of non-GAAP measures and reconciliations to the most comparable GAAP measures. We will reference this information in our remarks. With me today is Jeff Witherell, Chairman and Chief Executive Officer; Anthony Saladino, President and Chief Financial Officer; and Jim Connolly, Executive Vice President of Asset Management. I would like to point everyone to our forward-looking statements on Page 3 of our supplemental presentation and encourage you to read them carefully. They apply to the statements made in this call, our press release, our prepared commentary and in our supplemental financial information. I'll now turn the call over to Jeff.
Jeffrey Earle Witherell: Thanks, Ethan. Good morning, and thank you for joining us today. I hope that everyone had a chance to review the commentary and supplemental information we posted last night. First, I'll highlight a few key points from the quarter before we move to Q&A. The second quarter of 2025 was another solid period of execution for Plymouth, marked by strong leasing activity, continued deployment into high-quality acquisitions and further progress on our capital allocation priorities. We commenced over 1.4 million square feet of leasing in the quarter, bringing our year-to-date total to nearly 6 million square feet, addressing nearly 70% of our 2025 lease expirations and driving blended cash rent spreads of over 13%. Leasing activity remains broad-based, but we're seeing particular strength among life manufacturing users seeking long-term space commitments in our core markets. We closed on $204 million of acquisitions in Q2, including the Ohio Light industrial portfolio, one of the largest transactions in our company's history. These fully leased assets were acquired at an initial yield of 6.7% with in-place rents approximately 22% below market and a weighted average remaining lease term of 2.6 years, offering embedded rent growth and long-term upside. We also continued to execute on our share repurchase program, acquiring over 805,000 shares in the quarter and another 225,000 shares post quarter end. Operationally, our portfolio continues to perform well. Same-store NOI grew 4.1% on a cash basis, supported by strong rent growth and renewal activity. Occupancy increased sequentially, and we expect to end the year with same-store occupancy near 96.5%, driven by ongoing leasing success in our larger spaces and continued tenant retention across the portfolio. From a strategic standpoint, our focus remains on acquiring and operating smaller footprint infill industrial properties in dense supply- constrained submarkets. These assets continue to outperform bulk product with occupancy rates over 400 basis points higher than broader market averages. With development concentrated in larger buildings, our portfolio is well-insulated from new supply and positioned to capture strong rent growth. We ended the quarter with over $285 million of availability on our unsecured credit line and 74.5% of our debt fixed, including through interest rate swaps. With no debt maturities in 2025, we maintain strong balance sheet flexibility and expect to return to our targeted leverage range in the near term as newly acquired assets stabilize. We are reaffirming our full year 2025 core FFO guidance and continue to expect a stronger second half of the year, supported by continued lease-up activity, embedded rent growth and the full contribution from recently acquired assets. Thank you for your continued support and interest in Plymouth. I look forward to providing additional updates as we execute on our strategy. With that, I'll turn it over to the operator for questions.
Operator: [Operator Instructions] And the first question will come from Todd Thomas from KeyBanc Capital Markets.
Todd Michael Thomas: It sounds like you're seeing a little bit of an increase in leasing demand more recently. I appreciate some of the detail on those -- the renewal and expansion opportunities underway. Can you provide us with an update on the year-end expiration in Memphis? And then with regard to the 624,000 square foot August expiration in St. Louis, can you just discuss your confidence in that renewal materializing here? Is there any risk of that not happening at this point?
James M. Connolly: Yes. On the Memphis expiration, we're currently working with them on a 2-year extension. So details will be coming shortly. And as far as the St. Louis 625,000 square foot, that is in DocuSign. They have all of their client contracts signatures approved, and we just expect it any day. These signature processes with these international companies are quite extensive and take a while. But there's no chance it's not happening.
Todd Michael Thomas: Okay. That's helpful. And then can you also talk about some early indications around 2026 and your expectations for tenant retention? Any insight around what that might look like as you gain a little more visibility around '26 and begin working through expirations?
James M. Connolly: Yes. Yes, '26 is probably -- it looks like it's a little light so far, but there's two big leases that are currently in the signature cycle. Again, both international companies and they take a while to sign. That's going to be 370,000 square feet that's going to be signed shortly. As far as retention, I mean, we're seeing quite a bit of that. We're getting people wanting to address the expirations early, and we're working with several companies right now on these extensions.
Todd Michael Thomas: Okay. And if I could just ask one question around acquisitions. How should we think about additional acquisitions in the second half as you look to completely redeploy the Sixth Street capital proceeds in the context of additional stock buybacks. It wasn't clear if there is more to do in terms of acquisitions in your view, just in light of where capital costs are today or if anything has changed?
Anthony J. Saladino: Yes, Tom, this is Anthony. So just contextualizing that a bit, the pipeline currently stands at about $750 million, which is double the level we saw in the first quarter. All of the contemplated transactions are located in markets where we already have an operating presence, which perfectly aligns with our strategy of expanding within the existing metros. I'd say notably today, we are fully engaged on a large off-market portfolio. And if successful, this opportunity would bring us beyond the midpoint of our full year acquisition volume. I think as we think about guidance and our previously announced deployment, we probably have around $91 million left to go. And so looking ahead, we would expect to potentially supplement acquisition and growth activity through a combination of balance sheet capacity, selective term financing, and capital recycling initiatives.
Operator: [Operator Instructions] The next question is from Eric Borden from BMO Capital Markets.
Eric Martin Borden: In your prepared commentary, you mentioned that 80% of the remaining 25 lease expirations were in active discussion. I was just hoping if you could provide a little bit more context as it relates to -- is there a portion of the expirations that are under LOI? Are you currently trading papers with a portion of it? Or -- and is there a portion still kind of kicking the tires around those deals?
Anthony J. Saladino: Eric, I think you were referring to what we previously disclosed is about 1.6 million square feet of speculative leasing in same store. Is that correct?
Eric Martin Borden: It's the 847,000 square feet of remaining of expirations in the prepared commentary.
Anthony J. Saladino: Understood. Jim can speak to that.
James M. Connolly: Yes. I don't have it broken down exactly the way you laid it out, but we're going back and forth with -- on all these deals, probably that's netting out [indiscernible]. And the rest of it is probably -- the ROIs are probably 40%. Active conversations are 50% and just day-to-day communications with tenants, 10%. So I mean, they're in active discussions. They're in process, and they're going to get done.
Eric Martin Borden: Okay. And is there just any risk that those get pushed out into 2026, just given the macro uncertainty and discussions with potentially just taking longer today?
James M. Connolly: There's always a chance that something might slip a little bit, but I don't think there's much risk in what we have left for this year.
Eric Martin Borden: Okay. And then on the Ohio portfolio acquisition, I understand that there's a little bit of a shorter vault, but a pretty sizable mark-to- market opportunity. Just curious what portion of that portfolio lease rolls this year? And are you currently in active discussions with the remainder of the portfolio? And is there any sense of tenants staying or leaving today?
Anthony J. Saladino: So with respect to Ohio Light, you're right, the weighted average remaining lease term is just inside 2.5 years. With respect to the stickiness of tenancy, we anticipate renewals will be elevated relative to our average portfolio-wide renewal or retention. Engagement has been high with respect to our PM teams and the in-place tenancy, and we anticipate that our execution will be at or above pro forma levels.
Eric Martin Borden: Okay. And last one for me, if I may. Jeff, in your prepared remarks, you mentioned that demand is broad-based. I was hoping that you could comment on the development leasing at the 42,000 square foot Liberty Business Park development that's currently underway.
Jeffrey Earle Witherell: Yes. So we have a couple of full building users we're negotiating with now. At 46,000 square feet, we want to basically get a full building user if we can. So we still got a couple of months left. So I think we're going to sign somebody up here fairly soon.
Operator: And the next question is from Nikita Bely from JPMorgan.
Nikita Vyacheslav Bely: Can you talk a little bit about the leasing activity and maybe specifically what's driving that? It seems like you've had decent activity. What fundamentally, what are your customers saying these days? I mean, is it really more a function of them getting tired of all the headlines and the tariff news and people just moving on, which is kind of what we've been hearing this quarter? Or is there something else that maybe is driving that?
James M. Connolly: Yes. On the -- in the prepared comments, we did discuss that manufacturing firms are trying to solidify their space long term and maybe they think that there's going to be significant increases down the road in rents. Also, there's a lot of 3PL activity. They're working with us. Like for instance, like in Indianapolis, we've seen an uptick in 3PL activity. We just signed a lease this week for 99,000 square feet that had been vacant, and we're working with several 3PLs long term, whenever they're searching for business, we're like they come to us, they use our spaces for their bids. And this guy, he wants to extend it to some of our other buildings as well. So we're doing the same in Columbus. We have a strong relationship with certain 3PLs there, and they're using us for their bidding process, and we're using them to backfill our spaces.
Nikita Vyacheslav Bely: And what are these 3PLs are saying? Because we've heard interesting in the opposite from some of the companies, for example, in California, right, that 3PLs have been somewhat retrenching in the last couple of years. This seems to be the opposite of what do you think is driving that? Different markets, I understand, of course.
James M. Connolly: Yes. I think in our case there's a lot of Class A buildings like in Indianapolis on the east side, outside of the city that are more expensive than our buildings. And I think our building and -- which is on the east side, but more towards the central part of the city, just offers a better cost structure. So it helps them win business.
Nikita Vyacheslav Bely: And can you talk a little bit about the rents more at the market level? Like what are you seeing overall if you have maybe a prediction or guidance for 2025 in terms of the overall market rent? And how has that trended versus -- on a sequential basis, like 1Q versus 2Q and what are you seeing in 3Q, not specifically your portfolio, your rents, but the market rents where you guys participate and play around. What are you seeing on a sequential basis with the market level rents there?
James M. Connolly: Our market -- I answer for our market rents first. Our market rents have been growing maybe a little off pace from previous years, except for the bigger box product, which has kind of muted our results. Like I think we show that if we backed out one property from our spreads, it's basically close to where we were last year. And we're seeing that across the board. It's just that the big box in a couple of locations. It's not just us. It's everybody who's had to level set their rent expectations because of the glut in bills that came up over the past year. So while that's being absorbed, rents have kind of flattened a bit on big box, but we will continue to grow once that space is full.
Nikita Vyacheslav Bely: Got it. Maybe last one on the rent bumps. What kind of rent bumps are you guys achieving right now on all your new leases and renewals when you're renegotiating those contracts versus what's in place, is that still higher? So we should expect the overall portfolio bumps to continue to trend up?
James M. Connolly: Yes. We're probably averaging 3.5% on that.
Nikita Vyacheslav Bely: On new and renewals on the bumps?
Operator: [Operator Instructions] The next question is from Brendan Lynch from Barclays.
Brendan James Lynch: Jeff, can you talk a little bit about your capital allocation priorities over the next couple of quarters? Obviously, you've been very active on the acquisition front, recycling some capital, but there's also been an uptick in share repurchases and kind of where that fits in, in your list of priorities.
Jeffrey Earle Witherell: Sure, Brendan. I think as we mentioned, we have about $90 million left to deploy whether that's across acquisitions or share repurchases. The thing about share repurchases that they take time. You can only buy so much of the average daily volume. So what we're trying to do is look at acquisitions, look at the volume of the share repurchases. And I think we've done a pretty good job of basically blending that as we go. But we will -- by the end of the year, we will deploy that $90 million. I can't say what the mix is going to be, but it will be similar to what you've seen in the past. So those are the two priorities right there.
Brendan James Lynch: And in terms of the acquisitions, how much left do you have in terms of 1031 exchange capital?
Anthony J. Saladino: Well, not 1031 exactly, but essentially deployment of the strategic capacity created by the Sixth Street transaction. There's about, as Jeff said, about $91 million left to deploy of the $500 million that we announced at the time of the deal.
Brendan James Lynch: Okay. And then any update on the potential build-to-suit opportunities in Cincinnati or Memphis?
Jeffrey Earle Witherell: Yes. So we have two -- well, we got more than that, Brendan, as you know, several other pieces of land, some in Charlotte and Atlanta. But all of our parcels with our brokers, we have build-to-suit packages out there. As of today, there's been very limited activity, as you can imagine, on new construction. But we continue to market it. There continues to be some interest. And I think as this absorption starts to really picks up here as we get into next year, we feel confident that we're going to find some of the -- and these are infill locations in Memphis. These are infill locations in Cincinnati. I mean the Cincinnati is 200,000 square feet. It's ready to go. It's got high-speed rail. It's owned heavy industry. So we think that space will go kind of as soon as some of this bigger box absorption happens.
Operator: And ladies and gentlemen, this concludes today's question-and-answer session and thus concludes today's call. We thank you for joining Plymouth Industrial REIT's Second Quarter Earnings Call. You may now disconnect your lines.